Operator: Good afternoon everyone and thank you for participating in today’s conference call to discuss Iteris’ Financial Results for its Fiscal Second Quarter ended September 30, 2014. Joining us today are Iteris’ President and CEO, Mr. Abbas Mohaddes and the company’s Interim CFO, Mr. Craig Christensen. Following their remarks, we’ll open up the call for your questions. Before we continue, we would like to remind all participants that during the course of this call, we may make forward-looking statements regarding future events or the future performance of the Company, which statement are based on current information, are subject to change and are not guarantees of future performance. Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ substantially from what is discussed today, and no one should assume that at a later date, the Company’s comments from today will still be valid. Iteris refers you to the documents that the Company files from time-to-time with the SEC, specifically, the Company’s most recent Forms 10-K, 10-Q and 8-K, which contain and identify important risk factors that could cause actual results to differ materially from those that are contained in any of the forward-looking statements. I would like to remind everyone that a webcast replay of today’s call will be available until November 26, 2014 via the Investors section of the company’s website at www.iteris.com. Now I would like to turn the call over to Iteris’ President and CEO, Mr. Abbas Mohaddes. Please go ahead, sir.
Abbas Mohaddes : Thank you, Brendon and good afternoon everyone. As you saw at the close of the market today we issued a press release announcing the financial results of our fiscal second quarter ended September 30, 2014. Our second quarter mark the fifth consecutive quarter of double-digit year-over-year revenue growth in our Roadway Sensors business, following in a step with the first quarter the record second quarter revenue in Roadway Sensors were primarily due to increased sales or OEM distributed products. The OEM distribution strategy complements our integrated product and service offerings, contributing to both our top and bottom-line. Transportation systems return to grow in the quarter due to the start of new projects and particularly the $10.1 million in new contracts signed during our first fiscal quarter. We continue to realize success with our development milestones and values growth initiatives for iPerform, while iPerform revenues decline due to selling fewer legacy products, we launched ClearPath Ag 2.0 in September as planned and have already received positive market feedback. Finally, I am also pleased to announce that last week on November 6th, the Company’s Board of Directors approved a $3 million increase to the company’s stock repurchase program. But before I comment further I would like to turn the call over to Craig our Interim CFO who will take us through the details of our financial results for the second quarter of fiscal 2015.
Craig Christensen: Thank you, Abbas. Good afternoon everyone. Total revenues in the second quarter of fiscal 2015 increased 9% to 18.6 million, compared to 17 million in the same quarter a year ago. This was primarily driven by a 16% increase in Roadway Sensors as well as a 6% increase in Transportation Systems revenues, while iPerform which represented only 6% of total revenues decline 282,000 for 21%. The increase in Roadway Sensors revenues was largely attributable to the success of various growth initiatives, including increases in the distribution of certain OEM products for the intersection market such as traffic controllers, traffic cabinets and related equipment. The increase in Transportation Systems revenues was primarily attributed to the start of certain new projects in the backlog while the decrease in iPerform revenues was driven by a decline in legacy iPerform offerings. Gross margin in the second quarter of fiscal 2015 decreased 138 basis points to 39.3% compared to 40.6% in the same quarter a year ago. The decrease in gross margin was primarily due to the sales mix of product within the Roadway Sensors segment, as increase sales of OEM products generally yield lower gross margins than Roadway Sensors core products. Although OEM products yield lower gross margins, we expect the OEM business to continue contributing positive income to the Roadway Sensors segment. Operating expenses in the second quarter increased to 7.6 million compared to 5.9 million in the same year ago quarter. The increase was largely due to approximately 600,000 in audit fees and approximately 500,000 in outside consulting fees in connecting with contract revenue testing and the completion of our fiscal year 2014 audit. As a result of this activity, we have improved our internal controls and processes and believe that future annual audit cost will decline substantially despite the additional recurring cost expected in future periods for the improvements to the internal controls and processes. To a lesser extent, operating expenses in the second quarter increased as a result of planned increases in headcount and sales and marketing expenses in iPerform, as well as accelerated research and development expenses in iPerform. Operating loss in the second quarter was 320,000 compared to operating income of 1 million in the year ago quarter. Net loss in the second quarter was 187,000 or negative $0.01 per share compared to net income of 661,000 or $0.02 per share in the same quarter a year ago. The decrease was primarily due to the continued investment in iPerform and an increase in audit fees for our fiscal year 2014 audit. Cash and cash equivalence at September 30, 2014 increased to 22.4 million compared to 20.4 million at March 31, 2014 and we continue to carry no debt. During the second quarter of fiscal 2015, Iteris repurchased approximately 145,000 shares of its common stock for $243,000. Since implementing a series of stock repurchase programs beginning in August 2011, the Company has repurchased approximately 2.6 million shares for an aggregate purchase price of approximately $4.2 million. As of September 30, 2014 approximately a $153,000 remained available for share repurchases under the program. On November 06, 2014 our Board of Directors approved a $3 million increase for existing buyback program for the Company to continue repurchasing its common stock. Total backlog at the end of the second quarter of fiscal 2015, increased to 40.9 million compared to 38.8 million in the prior quarter and 40 million in the year ago quarter. The increase in backlog was primarily due to transportation systems adding 9.7 million in new contracts during the quarter. Backlog at September 30, 2014 was comprised of 32.2 million in transportation systems, 5.4 million from Roadway Sensors and 3.3 million from iPerform. This concludes my prepared remarks and the financials. Now, I’d like to turn the call back over to Abbas, Abbas?
Abbas Mohaddes: Thank you, Craig. As I indicated in my opening remarks, we reported the strong results in our fiscal second quarter particularly in a roadway sensor business which has experienced double digit growth for several quarters. We were also pleased to see our transportation systems business return to growth in the quarter. While our iPerform business was down slightly this quarter this was due entirely to legacy product sales and they continue to make progress in product development, partnerships and customer sign ups. But before I speak more about our outlook, I would like to discuss our operating segments in more detail. Several of our key products in the Roadway Sensor segment continue to gain market traction such as SmartCycle, which combines video vehicle detection and bicycle detection in one. Velocity, our travel time data collection product and our newest product VantageNext, which we believe is one of the industry’s most advanced video detection scalable architecture platforms with enhanced remote functions. Finally, our OEM distribution revenue in Texas has been growing which we believe enhances our overall growth strategy in this business. The OEM distribution includes controllers and other apparatus pertinent to traffic management and control all of which are complementary to our integrated product and service offerings. We believe our investment strategy in product development and sales and marketing is working well and further believe the overall market demand for traffic management products and services should continue to improve. Our transportation system sales were up 6% during the quarter. There are several key initiatives we’re pursuing and we’re focused on capturing new major contracts to continue expanding our backlog in fact we’ve recently been awarded several systems contracts and we continue to expand existing relationships with key clients such as the Virginia Department of Transportation, California Department of Transportation, Bay Area Metropolitan Transportation Commission and Orange County Transportation Authority. One such contract was at 1.4 million signal system management project for the city of Omaha. We’re serving as a system manager for the deployment of their intelligent transportation system which goes upon Omaha’s traffic signal system master plan that we developed in 2012 and will include the management of that $35 million ITS upgrade program to reduce congestion. We’re also looking to expand our presence in certain markets in the U.S. where transportation business is experiencing more traction such as Texas, Florida and certain states in the Midwest. Now, on to our performance management segment or iPerform. Our current suite of products can be broken down into three primary categories; first, iPeMS is a performance measurement and traffic analytics application for both public and commercial markets. Second, ClearPath Weather is a hyper local road weather maintenance solution for the state and local transportation agencies and provides winter road maintenance strategies which are expected to optimize the deployment of personnel, material and equipment. And finally ClearPath Ag our big data and analytics platform for Ag Tech, which is the latest solution in iPerform suite of product. The ClearPath Ag product line provides high resolution, field level, precision weather, soil and climate information for the agriculture market. The ClearPath Ag product line is designed to aid in better crop management, chemical application and risk mitigation to improve bottom-line performance for growers and agribusinesses. ClearPath Ag targets agribusinesses in the genetics and crop protection, fertilizer and crop nutrition, crop risk, and retail sectors. In September we released the ClearPath Ag select product line which is said, which is a set of software services that provides customers with access to the information essential to make an informed cropping decisions. ClearPath Ag Select provides high resolution map visualization of field and specific weather data up to one-by-one kilometer. This location is specific weather information, derived from a targeted array of Ag weather observation and forecasting platforms. In December, we expect to release our next vision on ClearPath Ag product. A state-of-the-art software services that provides soil moisture models and climate information, as well as the first of our field-level advisory services, including planting and crop growth modelling. In our fourth quarter, we plan to further augment our ClearPath product line with the launch of a set of premium API and mobile component services. In addition to ClearAg’s technical developments, we have signed several new partnerships and are in various stages of discussion with many other prospective customers. This includes five of the eight leading crop protection manufacturers and three of the top five Ag retailers in U.S. that are also users of our first generation precision with the data product, WeatherPlot. We are in the process of transitioning these long-term customers to our ClearPath Ag platform. To provide you with a rough idea on the economics of this business, we believe some of these services will provide for enterprise class cap subscriptions, revenue in the range of $100,000 per month, per customer. We believe these products empowered Ag advisors and growers with information needed to make better daily decisions a key points during the growing season. Now before I provide my closing remarks, we would like to respond to any questions or comments that you might have. Operator?
Operator:  Thank you, sir. [Operator Instructions] We’ll go first to Jeff Van Sinderen with B. Riley.
Jeff Van Sinderen: Good afternoon, and let me say congratulations on all of your business segments running positive. I think the Midwest might be able to use your ClearPath product lately, with the weather they've been having there. Are you seeing anything in terms of, I guess, you know, when the weather is extreme, does that start to drive more interest in that -- for in terms of traffic management?
Abbas Mohaddes: It certainly does Jeff, several things happen, one of which is -- we have this 511 for many states the volume of the calls significantly go higher. We have the weather monitoring center in Grand Forks, North Dakota which runs 24x7, those guys are very busy during this time because they take the national weather and with all the local sensors they try to provide their real-time information for many of the states, places that roadway sections they may freeze, this information helps them to know that in advance and go on apply chemicals and salt and prevent that freezing. So yes, it is really -- the magnitude of our work expands when we experience like we are experiencing in Midwest at the moment.
Jeff Van Sinderen: Okay. And then is there anything new that you can talk about in terms of iPerform and that whole segment of your business? You know, anything new since -- I know you guys, it hasn't been that long since we spoke with you, but any new developments to talk about there? 
Abbas Mohaddes: Sure just the last -- since last 30 days when we have our last call, we have had three new companies that begun evaluation on ClearPath Ag which for competitive purposes I won’t name them. We also have developed advance discussions with eight new organizations since we talk last time. As I indicated last time, we already have two signed contracts and we are in the final stage of the contract with a rather large organization. So that has been from a partnership standpoint and of course in the development side we have made continued progress towards the next launch that we’re planning to do in December, the product that includes the soil, moisture and content and forecast.
Jeff Van Sinderen: Okay, great. And then is there anything that we can read into in your systems business? It was great to see that business turning positive. Is it just kind of the normal seasonality of the way things fall, or is there something else to read into there that's driving that business up, the backlog up, and so forth? 
Abbas Mohaddes: Yes, the underlying business health is actually improving we believe Jeff and so when you look at the backlog year-to-date that was Q1 plus Q2 we signed about $20 million of new contracts. So that’s really stems from improved health of the market. Third quarter is the one that we’re in right now seasonally and traditionally, it’s less because number of days that we have due to couple of holidays and in our core business roadway sensors because of the construction limitations we experienced seasonally, less business. But having said that we feel quite optimistic about the health of our market and traffic management both roadway sensors and transportation systems are experiencing healthy backlog, so we feel pretty good about them from outfocus standpoint. 
Jeff Van Sinderen: Okay, good. And then in sensors, it's great to see that the OEM business is really getting going. What about the non-OEM part of that business. How's that looking? 
Abbas Mohaddes: It actually has been relatively flat this last quarter when we talk about it year-over-year, but we’re getting traction on a few of the key products such as the SmartCycle, Velocity, the new product that we’ve launched couple of quarters ago VantageNext. So domestically, we believe that, that is poised for growth for several initiatives that we’re doing, these new products that will be getting traction. The other initiative that we’re focused on is international in particular, in South America and Middle East where we have done quite a bit of exploratory activities, forged relationship with the several distributors and we’ve seen some green chutes in the way of selling products. We envision that, that part to begin providing us traction so, all in all as far as the traditional core roadway sensors I feel optimistic going forward as well.
Jeff Van Sinderen: Okay, good to hear. And then my last question. Is there anything we should consider in terms of gross margin expectations for the December quarter in terms of the mix it business? Obviously, there's some moving items there in terms of mix. Anything to consider that would impact gross margin? 
Abbas Mohaddes: I don’t envision anything unusual to the best of our knowledge at this point. We have the seasonal revenue reduction on sequential basis as I indicated but I really don’t see anything that materially would impact the margins we feel it should be steady, we always have that mix, depending upon for example in systems how much sub consultants do we have, in terms of roadway how much OEM do we have. But I don’t envision any material impact on the underlying margins as we’ve had in the last few quarters.
Jeff Van Sinderen: Okay, great to hear. Thanks very much and good luck. 
Abbas Mohaddes: And thank you very much for the questions.
Operator: We’ll go next to Ben Mackovak with Cavalier Capital.
Ben Mackovak: Hi, Abbas.
Abbas Mohaddes: Good afternoon.
Ben Mackovak: Can you help me with the audit expenses? You said there was about $600,000 for the audit, and about $500,000 for consulting fees. And going forward, it will be higher than historically, but obviously that whole $1.1 million won't be recurring, is that correct? 
Abbas Mohaddes: Yes, that’s correct.
Ben Mackovak: Okay, so what will be recurring? Can you just help us figure out the delta there? 
Abbas Mohaddes: So, we envision that as far as the annual audit, that number substantially reducing. Now, one of the activities that we did as part of remediation was to hire a director of revenue recognition about a month or so ago and so we believe that, that would be an added G&A cost plus perhaps a slight added audit and maybe legal fees going forward on a quarterly basis. So, I might have to just give you a rough idea I would say that, that got to be listed $0.5 million on annual basis going forward.
Ben Mackovak: Okay, great. And then, on the iPerform, it's hard to see much progress there, if I look at revenue or backlog or really anything, but it’s costing the Company a lot of money. Is there an opportunity to maybe slow the amount of spending on that?
Abbas Mohaddes: So, we are focused really on two major elements in iPerform, one would be really a significant development, our current development roadmap calls for four major products in the ClearPath Ag launch. So, we have already done two, we released one in June, one in September, our next one is in December, the next one after that is in March. So we want to make sure that we accelerate the production of these products and launch them because of the growing season we want to make sure that we capture, Ag advisors and growers in a timely fashion, so by design we are really in admits of accelerated development of these products. At the same time, we have expanded sales and marketing activities and the hiring people, so since first of our fiscal year so that would be April 1 to now, we have added 27 or 28 individuals to that group. So these are investment really necessary for us to then gradually begin enjoying revenue. Now I should mention that our business model for that group is a fast model so these are subscriptions, they are really high margin subscription that we have to sign up these organizations that we worked with that they then provide revenue in the coming quarters. So, what I would point to in a way of the progress is really development, we’ve just came from Grand Forks which is if you will the epicenter of that development in Ag market. Significant progress, simple demonstration that we saw, so a lot going on in that and just the fact that the several major organizations are willing to really go to trial with us, I think really stems from the success of our strategy initially and also discussion with many of the organization to sign up. So I realize that it is not turning revenue as we speak, but these are the necessary investments that we have to do to really get there.
Operator:  [Operator Instructions] We’ll go next to Jason Revland with Blueprint Capital Management.
Jason Revland: Hi, thanks for taking the call. Good afternoon. First of all, just nice to see the buyback as well as to have the audit issues largely behind you guys. My question relates to the ClearPath Ag. You know, it certainly has a lot of promise, and I appreciate you quantifying the business model opportunity. And the question is, how advanced are some of these conversations? And then when can we expect a material contribution, possibly in 2015 from that division?
Abbas Mohaddes: 2015 in the way of calendar or our fiscal year?
Jason Revland: Calendar.
Abbas Mohaddes: So, we are in various stages of discussion in probably over 50 prospective customers, some of which are in later stages and the typically with many of these customers they want to go to trial or beta test of the product, typically for about 30 days or so and then after that they become customers more likely. So, end of September really was the version two release that we had referred to as the Select -- ClearPath Ag Select and we were able to sign up several organizations that we are in trial now and so that activity will continue, a key product really is this December one, because it substantially changes the dynamics of the value proposition in that we’re getting soils condition. It could tell the growers current soil temperature and moisture conditions, forecasting soil temperature and moisture conditions, is to recall information as well and that is very valuable opportunity. So what we are focusing on now is in there coming weeks. We are launching the products mid-December rather and we are getting ready to go to trial with them. As far as revenue in 2015, we expect there maybe some revenue, particularly as it go toward the second half of the fiscal year, but at this point I don’t necessarily envision it would be so significant and one might think that, are you getting to break even position or not? And so we’re not really focused on that, our main focus right now is this quarter and next quarter to really finish up the product, sign up a lot of customers and we’re preparing by the way of next fiscal year activities which we would complete in January and present it to our board in February.
Jason Revland: Okay. Just a follow-up, if I may.
Abbas Mohaddes: Please.
Jason Revland: The improvement of the software or the offering, how material is that improvement as far as getting customers to bite? I mean, are they willing to pay for the product even without that, or is it just an add-on capability, or are they really all kind of waiting for that? 
Abbas Mohaddes: No, nobody for say waiting, they’ve already signed up for the second product that we launched and offer to the market back in September. My point there is that the augmentation of the offering, the soil’s condition, in addition to the weather condition that we’ve been providing is really substantial because we’re getting close to the planting season at that time, the soil’s condition is very important at the same time we have some planting advisory activities that we’re offering, we’re recommending plants windows by crop type for example, field accessibility, near term field condition, these are the types of planting advisory that the growers and Ag advisors are really thirsty for. So, and we’ve done quite a bit of market validation in the last two quarters. So, these are all by design and so we’re quite optimistic about the uptick of this offerings that we’re getting ready to launch in December.
Jason Revland: Great. I appreciate the detail, and best of luck, thank you. 
Abbas Mohaddes: I hope it helped, Jason. Thank you.
Operator: At this time this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Mohaddes for his closing remarks. 
Abbas Mohaddes: We believe the precision Ag marketplace presents a significant growth opportunity in the near term particularly as we develop and market a predictive feed level weather and soil information and mobile solutions. We plan to continue executing our growth strategies for the core businesses and utilizing debt operating income to fund strategic investments in iPerform, leading to differentiated solutions for our customers and positive returns to our shareholders. We believe that Iteris is poised and positioned for significant growth, to execution of growth initiatives in core businesses as well as execution of the iPerform businesses strategy. We appreciate everyone’s support and thoughtful questions and look forward to updating you again on our continued progress. Operator?